Operator: Good day, and thank you for standing by. Welcome to the Riskified Fourth Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Chett Mandel, Head of Investor Relations. Please go ahead.
Chett Mandel : Good morning and thank you for joining us today. My name is Chett Mandel, Riskified’s Head of Investor Relations. We are hosting today's call to discuss Riskified’s financial results for the fourth quarter and full year 2024. Participating on today's call are Eido Gal, Riskified's Co-Founder and Chief Executive Officer and Agi Dotcheva, Riskified’s Chief Financial Officer. We released our results for the fourth quarter and full year 2024 earlier today. Our earnings materials, including a replay of today's webcast, will be available on our Investor Relations website at ir.riskified.com. Certain statements made on the call today will be forward-looking statements related to our operating performance, business and financial goals, outlook as to revenues, gross profit margin, adjusted EBITDA profitability, adjusted EBITDA margins and expectations as to retention rates, market opportunity and execution of strategic initiatives, which reflect management's best judgment based on currently available information and are not guarantees of future performance. We intend all forward-looking statements to be covered by the Safe Harbor provisions contained in the Private Securities Litigation Reform Act of 1995. These forward-looking statements reflect our expectations as of the date of this call and except as required by law, we undertake no obligation to revise this information as a result of new developments that may occur after the time of this call. These forward-looking statements involve risks, uncertainties and other factors, some of which are beyond our control that could cause actual results to differ materially from our expectations. You should not put undue reliance on any forward-looking statements. Please refer to our annual report on Form 20-F for the year ended December 31, 2023, and subsequent reports filed or furnished with the SEC for more information on the specific factors that could cause actual results to differ materially from our expectations. Additionally, we will discuss our non-GAAP financial measures and key performance indicators on the call. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release issued earlier today and also furnished with the SEC on Form 6-K and in the appendix of our Investor Relations presentation, all of which are posted on our Investor Relations website. I will now turn the call over to Eido.
Eido Gal : Thanks, Chett, and hello, everyone. 2024 was an important year for Riskified in terms of executing on our business objectives and positioning our company for long-term success. I am proud that we grew our GMV by 15% for the full year and achieved revenue growth of 10%, finishing the year with $327.5 million in revenue and exceeding the high end of our guidance. We also delivered meaningful adjusted EBITDA margin improvement in our first full year of positive adjusted EBITDA as a public company. We finished the year on a strong note with our year-over-year revenue growth accelerating slightly in Q4 ’24 four compared to Q3 ‘24. This sequential improvement contributed to our highest-ever quarterly revenue and adjusted EBITDA. Despite the strong end to the year, our '24 revenue growth in annual dollar retention or ADR and net dollar retention or NDR rates were not in line with our historical benchmarks and our long-term objectives. That being said, I believe that the operational successes of ‘24 position us well for improved performance in these areas in ‘25 and beyond. Allow me to provide some further context. Our go-to-market team had another strong year in executing on our strategy of landing many of the world's largest online merchants, proving our ROI and then expanding our relationships with these merchants to capture additional volume. We closed more new business sequentially throughout each quarter during the year and we derived approximately $45 million in revenue from new merchants added in ‘24 and the annualization of new merchants onboarded to our platform in ‘23. Overall, we continue to win new logos within our larger verticals in fashion and ticketing and live events, while also penetrating newer verticals like money transfer and payments and food. We also saw strong new logo success in the United States and APAC, continued upsell strength contributed to a great year in travel and fashion with the Americas having the most success in these verticals. In ‘24, we welcomed several key merchants onto our core chargeback guarantee product. Notable names include Meta, Todatix, Fast Retailing, Armani, Real Money Transfer, Herbalife, Viva Aerobus, Hy Vee Grocery, Therabody and Mecha brands all joined the Riskified network and contributed to our ongoing efforts to diversify our revenue base across various verticals and regions. We also executed on our goal of expanding our multi-product platform to further diversify our revenue base across products and are excited to have added merchants including Norwegian Cruise Lines, Moncler, Hotel Planner, Oliver's and Sheehan to products outside of our core chargeback guarantee product. We believe that these wins have contributed to market share gains. A key focus for ‘25 is to expand our top-of-funnel efforts to drive more pipeline. Simply put, we believe that increasing the opportunities that we have in the funnel gives us more opportunities to demonstrate the power of our platform, outperform our competition and win new business at high rates, just like we did in ‘24, when our win rate in competitive processes was approximately 70%. Having mapped the revenue opportunities ahead, we believe that there are a number of ways for us to expand our funnel. First, we believe the value that our expanded multi-product platform unlocks is differentiated from our competition and is opening doors beyond chargeback guarantee. Second, we have deeper penetration in select sub-verticals like fashion and ticketing and live events, but relatively low penetration rates and significant white space within many of our newer and emerging verticals. Our experience has shown that once we are able to onboard a significant number of merchants in a vertical and then generate strong performance for those merchants, we reach an inflection point where future wins become easier, faster and more streamlined. By following this proven playbook in our newer and emerging categories, we believe that we can ultimately own these categories as well. Third, landing key tenfold accounts outside of the Americas and EMEA helps us unlock more opportunities for continued geographic expansion. And fourth, we continue to scale our network and data advantage and enhance our brand presence globally, which helps us promote the increasing capabilities of the platform and the financial strength of Riskified. As we have frequently discussed, we have established deep-rooted relationships with many of the top ecommerce brands around the world. In ‘24, our annual dollar retention rate was down from historical levels of 98% and above. This was in part driven by the one-off merchant churn event in the home category that we discussed during our last earnings call along with a broader uptick in competitive pressure. To combat this dynamic, we have operationalized a thoughtful and thorough merchant retention strategy, which is designed to help us return our ADR back towards its historical levels. A key pillar of this strategy has been to aim to shift many of our merchants to multiyear contracts in order to increase our committed revenue base. We have already had success in executing on this plan and have over 70% of our ‘25 book of business committed. Based on revenue, we increased our weighted average contract term signed for our larger accounts by 30% locking in renewals for nearly two years on average. Outside of the previously mentioned insurance event, we successfully renewed 100% of our top 20 contracts up for renewal in ‘24 with half of those contracts signed for multiyear deals with the average ending year of '27. In addition, we are also executing on the other core components of our retention strategy. We are focused on getting our differentiated multiproduct platform into the hands of more of our existing merchants, generating continuous SLA outperformance for our existing merchants, partnering with key merchants to develop bespoke features and expanding our executive sponsorship and merchant community programs to all aid in driving customer satisfaction and retention. We are also expecting improved net dollar retention in ‘25. We believe that the prospect of stabilization in some of our more recently challenged verticals such as fashion, ongoing execution of our aforementioned merchant retention initiatives and continued penetration of the upsell white space from new logo wins should help us work towards returning our NDR to recent levels of over 100% in ‘25. Shifting focus to our product platform and is playing a critical role in supporting growth and retention by enabling us to address a wider range of emerging use cases beyond chargeback guarantee. The expanded platform is gaining traction with new product revenue up approximately 90% year-over-year in ‘24 and new products bookings representing approximately 10% of the total bookings won in ‘24. I'm encouraged by this trajectory and we are currently anticipating aggregate revenue in the high single-digit to low double-digit millions from PolicyProtect, AccountSecure and Dispute Resolve in ‘25 based on our ‘24 revenue exit rate and pipeline expectations for 2025. Overall, while we are seeing traction across all products, I am most excited about the market opportunity for our PolicyProtect product. The return and claim landscape is evolving quickly causing significant challenges for merchants with the market comprising over $100 billion in losses for retailers. That's why we are further investing in the accuracy, scalability and efficiency of integration in order to get this product in the hands of many more of our merchants. To that end, we recently partnered with Appriss Retail, a top provider of return and claim authorization solutions. This innovative collaboration aims to address the growing challenges of omnichannel fraud and policy of use by integrating comprehensive data on consumer shopping patterns throughout the entire customer journey, both in physical stores and online. This comprehensive offering seamlessly integrates online and offline channel data providing a unique unified view of customer interactions, which we believe further strengthens our PolicyProtect offering. We believe that our ability to provide policy abuse decision across all key ecommerce interactions is unmatched. I wanted to take the time to provide a few real-life examples of how the merchants are utilizing the product, which I think demonstrates the power of PolicyProtect. For one merchant in the fashion space, PolicyProtect has given them insights on who to provide an instant refund to upon return initiation instead of after warehouse inspection. Another merchant is utilizing PolicyProtect's identity engine to customize every return experience, applying friction via handling fees or warnings to repeat of users and auto-approving returns to good customers, reducing manual review work. And another merchant is seeing the benefit of our identity clustering technology, which detects similar consumer behavior patterns across our merchant network. They are also leveraging our recently released Decision Studio tool, which is part of Policy Protect. As a reminder, this tool gives merchants powerful self-service capabilities for the creation, simulation and management of customer-facing policy decisions. By using Riskified's Decision Studio, this merchant has reduced their previous policy review process from 200 static rules to just 20 dynamic rules. This has allowed the merchant to prevent bad actors from buying extra amounts of limited run items for the purpose of reselling them on the secondary market. These complex and unique use cases are just some examples of how our PolicyProtect product is designed to improve customer experiences, reduce manual review work and help to embed Riskified into our merchants’ daily workflows. At our core, we are an innovative growth company with some of the best R&D and product talent in the industry. We are focused on investing in a merchant-centric product roadmap for ‘25 and beyond to help us generate additional opportunities for revenue growth while guaranteeing continued strong performance for our merchants. To aid in this, we have developed numerous AI capabilities which collectively are expected to improve the performance and accuracy of our platforms over time. To name a few, we have further enhanced our autonomous training capabilities, which enables us to provide completely customized model and future performance on an individual merchant basis, which generally leads to better performance results in a faster time to production. Our performance segmentation system automatically analyzes our entire order population and sorts similar transactions into different segments based on features such as payment type, IP or margin profile. From here, we assign certain customized risk thresholds for each segment in order to eliminate chargebacks without impacting approval rates. The entire process is intended to optimize approval and chargeback rates to enable high performance for our merchants. We believe that this automation will allow us to continue to scale the business with high leverage. And we also deepened our modular machine learning infrastructure to easily add additional capabilities into the Riskified’s decision layer. Some of these features such as early detection models, our address obfuscation engine and SKU risk network all plug back into the model to further deepen the AI learning across the entire platform. Our expanded product platform delivers the most comprehensive data capture per transaction we've ever had, starting from the moment the consumer accesses a merchant's website, opens an account through the card checkout experience, potential refund and return process and finally the eventual dispute of a chargeback, the multiple customer touch points that we collect and tag throughout the entire customer journey all feedback into the platform. This integrated cross-platform data sharing creates a synergy that enhances our performance across each product and further strengthens our identity mapping capabilities. Adding to our capabilities, I am excited to announce Adaptive Checkout, a new advanced configuration of our Chargeback Guarantee, Fraud and Risk engine. We have enhanced our AI decisioning engine to intelligently adapt the checkout process to the risk level of each transaction ensuring more legitimate transactions are approved while reducing fraud. This configuration works by blocking fraudulent attempts before bank authorization even occurs preventing fraud from entering the payment stream. And now we are employing selective smart friction to certain transactions such as automatically asking for a CVV if there are concerns on an account takeover or sending a one-time password prompt to good, but risky-looking orders in order to help legitimate customers proceed through checkout. These enhancements combined with sharing enriched data with card issuers to boost off rates to help us optimize the end-to-end conversion flow, creating a dynamic and safe checkout process. More details on Adaptive Checkout will be shared in our launch press release scheduled to be issued later today. By focusing on continuously advancing the capabilities of our product platform and through strong execution by our go-to-market organization, we believe that we are well positioned to capture more market share in a large and growing e-commerce end market. The largest part of the e-commerce landscape being traditional CNP transactions continues to grow off of a large baseline, which further expands our addressable market. And as alternative payment methods such as Apple Pay, Google Pay and various buy now pay later types grow off a small base, we are also finding ways to be relevant to this subsegment of volume. In order to capture more of this market opportunity, we are doubling down on our platform development and expansion efforts. Throughout our company's evolution, we have always aimed to invest in the development of our technology and products in a responsible way, while remaining focused on managing our expenses to drive towards profitability. In ‘24, we decreased our non-GAAP operating expenses by 4% for the year on top of the 6% decline that we achieved in ‘23. Given our strong new business generation in ‘24, our robust new pipeline new business pipeline for ‘25 and increased demand for our multi-product platform, we believe that now is the right time to focus our investments into further developing our product platform. In ‘25, we plan on increasing development of research capacity by almost 20%. We plan on doing this while keeping total expenses flat versus 24%. To accomplish this, we recently initiated a plan to restructure Riskified's workforce by relocating certain positions to lower-cost regions and reducing headcount in areas that we viewed as less critical to our product development and growth strategy. In addition, we are identifying further opportunities to incorporate AI tools into our business to help automate certain employee tasks and reduce manual work processes. This will in turn allow our employees to focus on higher-return work and increase their output. We believe that with increased employee capacity and efficiency that we can limit future hiring to the most critical roles needed. As a result of these initiatives, we expect to be able to increase development capacity, advance platform innovation to outperform the competition and improve product accuracy and customer service to deepen our merchant relationships. These actions should help us position us to maintain market leadership, accelerate our revenue and achieve our long-term financial goals. As this project ramps up in the second half of ‘25, we believe that we will see a meaningful step down in expenses in the second half of the year with the overall exit rate being lower heading into '26 versus '25. Agi will touch on the overall positive impact to our expense outlook shortly. As we previously discussed, we are aiming to achieve adjusted EBITDA margins between 15% to 20% by the end of ‘26. We are still eight quarters away from this timeframe and we believe in our ability to manage the business to continue driving improvement in order to achieve these goals. By optimizing the operational levers available to us over the last two years, we've achieved approximately 2,000 basis points in total adjusted EBITDA margin expansion and we remain confident that we can hit our target by '26. While tightly managing our bottom line, we have also executed on our capital allocation priorities. During ‘24, we repurchased over $140 million of our stock and generated nearly $40 million in positive free cash flow. This is a testament to our commitment to driving shareholder value and our powerful business model. As discussed on previous calls, our meaningful free cash flow generation and our strong cash reserves with no debt empower us to utilize our capital strategically. Our M&A strategy remains unchanged. We believe that we are the leader in the space and are continuously looking for opportunities for potential consolidation to drive scale and synergies. In conclusion, I feel great about our leading identity engine and our differentiated positioning in the market. I believe that we are redefining the e-commerce fraud and risk intelligence landscape through our leading tech and our robust pipeline for ‘25 supports the market demand for our product platform. Now over to Agi.
Aglika Dotcheva: Thank you, Eido, team and everyone for joining today's call. We achieved fourth quarter revenue of $93.5 million and full-year revenue of $327.5 million, up 11% and 10% year over year respectively. Our fourth quarter GMV of $39.5 million represents the highest quarter of volume reviewed in our history. This was driven by continued new and upsell growth and strong Black Friday through Cyber Monday holiday activity, which grew approximately 10% on a same-store basis as compared to last year's season. For the full year 2024, our GMV grew by 15% to $141.2 billion. During the fourth quarter, we saw growth across all verticals other than our home category due to the previously mentioned churn event. Growth was primarily driven by new business and upsell activity in our Tickets and Travel vertical and by new business activity in both of our food and money transfer payments category. Similar to the first nine months of the year, during the fourth quarter, revenue growth in our Fashion and Luxury vertical was primarily driven by new business and upsell activity. This growth was partially offset by continued same-store sales pressure, primarily within our high-end Fashion and Sneakers sub-verticals. Overall, our Fashion & Luxury category grew by low single digits in the fourth quarter and for the full year and represented approximately one-third of our portfolio for the year. More recently, we have seen some very early indications of stabilization of activity in our high-end fashion segment relative to prior quarters, although still tracking a year-over-year decline. For the full year, approximately $45 million of the increase in revenue was attributable to new merchants onboarded in 2023 and 2024, primarily within our Tickets & Travel category, which grew by 17% year-over-year. In addition, we saw 40% year-over-year growth in our Food category and 66% growth in our Money Transfer & Payments category as we continue to penetrate these newer areas. This growth was partially offset by a net decrease of $15 million primarily due to higher attrition than in previous years and continued organic declines net of upsells, which contributed to our net dollar retention rate of 96%. Our Ticket & Travel category was the largest contributor to our year-over-year revenue growth and it is now our largest category. This vertical achieved just over $111 million in revenue, which represented approximately one-third of our overall portfolio in 2024. While our Home vertical declined year over year, we expect to exit 2025 with growth in this vertical. Finally, we also saw billings growth across all geographies year-over-year. The United States, which is our largest region, grew by 9% and EMEA grew by 4%. Our Americas and APAC regions grew approximately 10% and 33% respectively, primarily due to momentum in new and upsell activity, including some tenfold accounts. We believe that our continued growth in regions outside of the United States is driving continued market share gains. Moving to the discussion of our gross profit margin, operating expenses and adjusted EBITDA. Unless otherwise noted, I will be referencing non-GAAP financial measures with respect to these metrics. We have provided a reconciliation of GAAP to non-GAAP financial measures in our earnings release. Moving on to gross margin. Our gross profit margin for the full year was 53%, up from 52% in 2023. We continue to benefit from improvements in our overall core machine learning models and the positive impact of new product revenue, offset by the impact of ramping of significant new margins. As it relates to 2025, for the full year, we're targeting a gross profit margin between 52% and 53.5%. As a reminder, I encourage you to continue analyzing our gross margin on an annual basis given individual quarters can vary due to various factors, including the ramping of new merchants and the risk profile of transactions approved. For modeling purposes, directionally, our first quarter and third quarters are expected to be below the range, our second to be at the bottom end of the range, and the fourth quarter is expected to be higher than the range. Moving to our operating expenses. We continue to manage the business in a focused and disciplined manner. Total operating expenses were $38.2 million for the fourth quarter. For the full year 2024, total operating expenses were $156.4 million a decline of 4% from 2023, driven by continued efficiency across each area of the business as evidenced by year-over-year declines in each of our R&D, sales and marketing and G&A expenses. Our operating expenses as a percentage of revenue declined from 55% in 2023 to 48% in 2024, reflecting increased leverage in the business model. As you will notice, part of our efforts to drive faster and more meaningful progress towards our margin targets, including increasing our reliance on artificial intelligence tools and also involves a decision to restructure our headcount in areas less critical to our product development and growth strategy and by relocating certain positions to lower-cost regions. We ended 2024 with 693 global employees, a decline of 7% from the prior year. Following the completion of this global headcount initiative, we expect to end 2025 with a similar level of employees with meaningfully increased R&D capacity. As a result of this initiative, which will largely be implemented in the second half of 2025, we expect to see quarterly operating expenses of approximately $38 million in the second half of the year. We should exit 2025 with this amount as a good approximation for our quarterly expenses in 2026. We achieved positive adjusted EBITDA of $11.2 million in the fourth quarter, the highest quarterly amount in our history. And our adjusted EBITDA for the year was positive $17.2 million representing a year-over-year increase of over 300%. I'm excited that we achieved positive adjusted EBITDA in each quarter in 2024 and expanded our margin by 800 basis points in 2024. Moving to the balance sheet. We ended the year with approximately $376 million of cash and deposits, and we carry zero debt. In addition, we continue to maintain a healthy cash flow model. And in the fourth quarter, we achieved quarterly free cash flows of $10.6 million which allows us to achieve record free cash flow generation of $39 million for the year. During 2024, we repurchased approximately $27 million shares for a total price of $141 million which contributed to a meaningful reduction in shares outstanding. We continue to believe that our strong balance sheet and liquidity position are valuable assets. We intend to remain thoughtful in how we utilize our capital to drive shareholder value. As a result of our continued strong buyback activity and our commitment to managing dilution with discipline. We continue to expect our share count to decline year-over-year. Allow me to spend some time highlighting our commitment to tightly managing our share-based compensation expense and share issuances. First, in 2024, share based compensation expense as a percentage of revenue decreased by approximately 300 basis points from 2023 levels. This was on top of a decline of 500 basis points from the prior year. As the expense associated with certain awards granted in 2021 continues to decrease, we anticipate a further decline in our share-based compensation expense in 2025. Second, looking ahead to 2026, we expect share-based compensation dollars and as a percent of revenue to continue declining due to the aforementioned awards coupled with the gradual roll off of expense associated with large grants made in 2021 and 2022 as the awards fully fab throughout 2026. And third, we continue to focus on controlling our equity awards. We granted over 30% fewer awards in 2024 than we did in 2023. In 2024, equity awards granted represented approximately 4% of our diluted share count, which was down from 6% in 2023 and 9% in 2022. We will continue to target approximately 4% to 5% in 2025 as we continue to manage our compensation policy in a disciplined manner. Now turning to our outlook. As we look forward to 2025, we currently anticipate revenue of between $333 million and $346 million or $339.5 million to the midpoint. Consistent with past years, we anticipate that our growth will be driven primarily by new business activity. And at the midpoint of our guidance, we're forecasting an improved net dollar retention rate from 2024. The behavior of the macro environment, our success in executing on our retention strategy and the level of upsell activity relative to new logo wins all may impact our net dollar retention rate and may ultimately determine where we fall within our revenue range. In addition, we feel confident about the new business activity levels, which is supported by a robust pipeline of new business activity. Historically, the timing of when new merchants go live during the year can be difficult to predict and may have an impact on our calendar year revenues. As always, we will continue to monitor the performance and health of our merchants, consumer spending and the broader ecommerce landscape and the impact on our results. For modeling purposes, we currently expect revenue in the first three quarters of 2025 to be similar on an absolute dollar basis and for the fourth quarter to be above this level. We currently expect all of the quarters in 2025 to reflect a similar percentage of the total revenue as they did in 2024. Now let me discuss our adjusted EBITDA outlook. We currently expect adjusted EBITDA to be between $18 million and $26 million or approximately $22 million to the midpoint. The midpoint of our adjusted EBITDA guide represents additional margin expansion from the prior year, demonstrating leverage in the business model and our commitment to managing the business in disciplined manner. Overall, I'm encouraged by our market position, and I'm confident that we can continue to execute on the elements within our operational control. Heading into 2025, we have set ourselves up to be a more productive company, and Eido and I remain excited by the continued prospects for long-term growth and our ability to deliver value to our shareholders. Operator, we're ready to take the first question, please.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Terry Tillman with Truist Securities. Your line is now open.
Terry Tillman: Yeah. Good morning, Eido, Agi and Chett. Thanks for taking my questions. The first question, there's a lot disclosure on this call, so I appreciate it. And also hearing about specific customers, I think that's very helpful. What I wanted to ask about is one of the first things you talked about Eido in the opening remarks was top of the funnel. It's a real focus. You win a lot of the deals, high win rate, you get expansion sales. What are you all doing? And we heard about R&D investment. What are you all doing to actually more maximize top of the funnel, whether it's more sales reps or just maybe you could share more about some of the drivers that are going to help with top of the funnel activity? And then I had a follow-up.
Eido Gal : Sure. Hey, Terry, thanks for that question. I'll highlight three. Number one, as we expand the platform capabilities through this increased R&D spend, we're actually seeing that's really beneficial to increasing top of funnel. So, whereas where we might interact with the merchants and they might say, the chargeback guarantee sounds really interesting, but I have three other priorities. Before that, now as we're able to kind of package and show the value of our policy product of dispute resolve, we are seeing an increase in that top of funnel opportunity. So, we think it's helpful there. That's number one. Number two would be around just the geographical expansion. We continue to see more pipeline and opportunities from that go to market investment that started kind of two years ago. And again, these being kind of longer-term enterprise cycles, continue to see that ramp up. And number three is we're trying to be more thoughtful in how we approach the more midtier areas of our market and that could be thoughts around channel distribution, which is something we're looking into and investing more this year than prior years.
Terry Tillman: Okay, got it. Thank you for that. And just a follow-up question relates to it sounds like this is an important push around multiyear renewal. I'm just curious and I don't know if you addressed this. What's the exposure into 2025 on any larger-than-average renewals? And then the confidence level on this kind of cohort of renewals in 2025 actually taking multiyear versus year at a time or no, I don't want to do that? Thank you.
Eido Gal : No, I think the confidence level is high. We had a 30% increase in the amount of renewals coming into the year, right? So over 70% of our book of business has already been renewed over the past three few months as part of this initiative. And as we think about we mentioned kind of aside from that churn event, 20 out of 20 renewals happening throughout the year. I think maybe one thing to call out there that would be interesting, also on the discounting front, I think we're doing a good job. It's only been 10% of renewals have actually had a discount. So, I think we're doing a great job of kind of both leveraging the product platform, outperformance SLAs in order to make sure that there are kind of mutual win-wins at renewal. So, we feel good about the strategy and the improvements we can see in ‘25.
Terry Tillman: Thank you.
Operator: Thank you. Our next question comes from the line of Ryan Tomasello with KBW. Your line is now open.
Ryan Tomasello: Hi, everyone. Thanks for taking the questions. Nice to see the traction on the non-chargeback products. I guess on that topic, I was hoping you can provide some context around the success you're seeing with standalone non-chargeback deals like PolicyProtect, any way to quantify the momentum there? And then also just based on all these strategic initiatives that you outlined entering 2025, how any of those might play into driving more standalone non-chargeback wins? Thanks.
Eido Gal : Sure, happy to take that. So, yeah, we're definitely happy. I mean, we're talking about going from about $4.5 million in revenue from these products in '24 to potentially low double-digit million dollars so really like very meaningful expansion and growth. We are seeing at initial deal signings, while there is a handful of deals coming in just on these new products, we're probably seeing a bit more platform sales and more cross-sales to our existing base at this point. But I think as we get more comfortable with the ROI and improve some of the integration and usage capabilities, we can continue to see either standalones or initial platform sales, and that definitely ties into the strategy that we discussed.
Ryan Tomasello: Got it. And then Agi, just for reconfirming some of the figures you gave last quarter on the home category churn, I believe you mentioned you were expecting $5 million in the fourth quarter and then an $18 million impact in 2025. Are those numbers still the right ballpark that we should be thinking about here just as we're kind of looking at the underlying growth in the business excluding that outsized churn?
Aglika Dotcheva: Yes, that's a good approximation. I'll use these numbers.
Ryan Tomasello: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Cris Kennedy with William Blair. Your line is now open.
Cris Kennedy: Hello, thanks for all the information and thanks for taking the question. Can you just talk about NRR? I think you said 96%. Historically, your company has had an NRR of over 110%. And just talk about the dynamics there. Clearly, you had the customer deconversion, but just give a little bit more color on NRR.
Aglika Dotcheva: Yes, of course. And thank you for the question. So, we just kind of reported our '24 numbers and our dollar retention rate has kind of decreased from historical numbers. And some of the dynamics that I see in '24 versus historical numbers. Again, number one, I'll say that we continue to see decline in our same cohort sales. And historically, that has been like a very positive number, collecting a double-digit even kind of like very strong growth that unfortunately we haven't been experiencing over the last couple of years. The second factor is more around the upsells. What we mentioned before is in 2024 specifically, we kind of focused more on new logo generation. And it did impact our NDR just more in terms of the split of new business, just lower splits towards the upsell category. And lastly, the churn events that we kind of mentioned in 2024, it's had like a partial impact in ADR. Going forward, as I think about ‘25, I'm more optimistic of where we will be. I'm hopeful that we are going to be above 100%. There's a number of areas that we're kind of investing and hopefully, this will kind of reflect in the numbers. But all in all, I'll say like, we are expecting just to kind of like better space than the higher upsell and we're kind of focused on existing merchants and how to penetrate them better. And overall again, better NDR, I guess plus.
Cris Kennedy: Great. Thank you for that. And then can you just give a quick update? You mentioned it on your prepared remarks, but can you give a little bit more color on alternative payment methods kind of what role you play within that area? Thanks for taking the question.
Eido Gal : Sure. Of course. So, I'll take that. So, as we think about like we mentioned on the prepared remarks, as we think about the majority of the volume that continues to be C&P and that's probably growing and based on recent analysis, high-single-digit areas, right? And that would be kind of the core chargeback guarantee then. And then as we think about alternative payment methods, and that could be anything from buy now, pay later to Google Pay, Apple Pay to potentially PayPal areas. So those are all merchants have a request for us to review this volume because they have a lot of inefficiencies and losses. They have fraud in those areas, and they continue to believe that we're great at identifying fraud in those areas. Sometimes, it's under an uncovered model and sometimes, it's under a covered model. And there are a lot of nuances between the different wallets and where they're protected and where they're not. But from our perspective, we get most merchants continue submitting this volume to us in a variety of business models.
Cris Kennedy: Got it. And any percentage of mix of GMV that alternative payments are for you? Thanks.
Eido Gal : I would assume that it's similar to the global mix of these numbers of these instruments.
Cris Kennedy: Got it. Thanks for taking the questions.
Operator: Thank you. Our next question comes from the line of Will Nance with Goldman Sachs. Your line is now open.
Will Nance: Hey, guys. I appreciate you taking the question. Great to hear about the renewal activity and kind of locking up the base. I'm curious as you guys went through the review of pricing strategies and took into account the competitive dynamics. Any major learnings from that process or kind of updated perspectives on the competitive landscape or the pricing environment within the fraud prevention space? How do you think Riskified is positioned? And has anything kind of changed in your thinking around how you should be positioning the product in the market? Thanks.
Eido Gal : Hey, Will. Thanks for that question. We did. I mean, look, when we talk to our merchants and when we try to understand why we have these high win rates in kind of all competitive cycles, and I think we mentioned about 75% for the year increasing throughout the year, two things stand out. Number one is the accuracy of the platform and that can be proven either in kind of some online test and pilot that can be proven through just testimonials and talking to other merchants. But that tends to be number one in one dimension. The other dimension is the strategic product growth, right? So, when we talk and explain about the dynamic checkout and the end to end conversion impact, when we talk about policy, the different use cases, the value that it can generate, dispute resolve, account secure, the value add between all these different products. So that really resonates with merchants as well. So, I think those are the two components that merchants are clearly telling us, this is why we choose you and why we want to continue working with you. As we think about more how do we take this and price it and bundle it in a way that's easy to for the merchant to use and also good for our financials, again, I don't want to get just for competitive reasons. I don't want to break out the different price points for each one of these products. We continue to feel that policy has very high, meaningful ROI. But just looking at the new product revenue growth, I think we found a good kind of mix between what functionality is kind of more stickiness related in the core part of the product and what is generating enough outside value that can be priced separately and generate meaningful revenue growth as well.
Will Nance: Got it. Appreciate all the color there. And then the logo wins were interesting this quarter, I thought or the logo callouts in the prepared remarks. You guys have talked about kind of having tenfold merchants. I think you mentioned that you're seeing some of that right now. Just curious what you think, I guess, which of the verticals that you guys are operating in either like that you're already in or prospectively in through current conversations are you kind of most excited about? Do you feel like you have line of sight to the next sort of tickets and travel-like opportunity, which pretty quickly became your largest vertical?
Eido Gal : Yes. No, it didn't. It's amazing to see the growth there. And like we highlighted historically, right, it's always this combination of having these tenfold accounts, building customized features in a localized network. Look, I think over the past year, maybe even slightly more, we've really focused on expanding into non-discretionary. So, when I see some of the success that we've had in groceries, food delivery and remittance, I'm very encouraged. I think it's still a bit premature to say which one of these is kind of the next ticketing, but we're continuing to focus on kind of continued success in the core verticals, but also expanding into some of the newer ones.
Will Nance: Got it. Understood. Appreciate you taking the questions.
Operator: Thank you. Our next question comes from the line of Clarke Jeffries with Piper Sandler. Your line is now open.
Clarke Jeffries: Hello. Thank you for taking the question. First question is around Adaptive Checkout. I just wanted to clarify, is that an opt in product or a sort of a new level of functionality that will be dispersed through the customer base? And then one follow-up related to the sort of profitability trend during the year. I was wondering if you could maybe frame what the exit rate of the business will be in second half from an EBITDA margin perspective given the seasonality of the business. I'm sure we can sort of impute it, but I'd love to sort of understand compared to the midpoint of the guide, what's the sort of run rate from margin perspective after second half? Thank you.
Eido Gal : Sure. So, I'll start. So dynamic checkout is a functionality of the chargeback guarantee product that would be available to all existing clients and new clients. And it really takes the conversion funnel and optimize it end to end through smart pre-op screening, through smart decisioning throughout the funnel and really increases conversion by several hundred, to a few hundred basis points.
Aglika Dotcheva: And just to kind of follow up on your second question. When I think about the back half of the year, there's a couple of factors that helped us accelerate in Q4. So, the first three quarters, as kind of explained in the prepared remarks are going to be impacted by the large churn event that we've had, and it's impacting some of the growth and also the adjusted EBITDA. But Q4, it's expected to be acceleration in terms of some of the numbers that we see and a major contributor to the annual adjusted EBITDA.
Eido Gal : Yeah. And I think maybe just a bit on the Q4 dynamics, because you mentioned kind of the exit run rate, something related to kind of our revenue recognition because of the guarantee accounting that we have, is that there can sometimes be a slight difference between billing and revenue. We usually don't disclose it because it's non-material, but specifically for Q4 ‘25. There is a pretty big delta. It's the biggest in the past few years that I can remember of over 3.5%. Net of that revenue growth at the midpoint of the guide would have been double digits. And I think that's a good exit rate to think about starting point for ‘26.
Clarke Jeffries: Perfect. And just to clarify, you're saying it's a detriment to revenue compared to where billings will come in?
Eido Gal : Correct. Yes, correct. Revenue is more than three point five months lower than billings [Indiscernible].
Clarke Jeffries: Perfect. Thank you very much.
Operator: Thank you. Our next question comes from the line of Reggie Smith with JPMorgan. Your line is now open.
Reggie Smith: Thank you. Good morning. Thanks for taking the question. So, I recognize you guys have a very diverse merchant base, but I was curious if there were any call outs, kind of quarter to date or recent trends, from a macro perspective. This is -- and how you're thinking about, the impact that tariffs could have on sales or volume within the new merchant base?
Aglika Dotcheva: Yes. Just thinking some of the performance in 2024, very happy with where we ended the year, very strong performance in the TV around tickets and payments and food. These are kind of like our newer categories, really strong growth. Also, what we've seen over the first kind of month of the year and maybe some of February, January started very strong. Again, kind of same category as being main drivers. Fashion has been still -- while still declining just on the same corporate basis, it's actually kind of been improving a bit. So that has been encouraging. And all I know, very happy with how we ended the year, like good signs in the beginning of the year. February has been a little bit mixed, but again, too early to say. And overall, I'm hopeful that these categories will continue to grow throughout the year as well.
Reggie Smith: Got it. And if I could sneak one more in. I guess someone asked about, Apple Pay and Google Pay earlier, and I guess you suggested there may be some fraud or some of these alternative payment methods. I just want to understand with Apple Pay and Google Pay, when you have biometrics, does that eliminate all of the fraud, or are you seeing are merchants still seeing fraud there? And then the second piece of the question, obviously, PayPal and Stripe are pushing this kind of accelerated checkout, vaulted payment things. And I'm curious how that fits within your business as well? Thank you.
Eido Gal : Sure, Reggie. I'll leave that. So, I think just the simplest way to think about it is that Apple Pay could be a stored funding instrument in some accounts and there are numerous account takeovers and that's like a clear fraud and that we're seeing increase. So, one easy way to think about digital wallet fraud is someone taking over an account that has a store financial instrument leveraging that account and we're definitely in our merchants are seeing fraud and charge-backs in that area. And another one is where you can just upload a stolen financial instrument into the wallet, whether it's Apple Pay or Google Pay, and then it's not an issue to pass biometrics, but the funding source is still a stolen credit card. So those could be two simple examples that kind of show where fraud can happen. And again, if you want to go into the nuances of that like the merchant receives liability protection only in certain areas, not if it's a returning tokenized injection. So again, some nuances there. But I will say, we anticipate that a portion of this market we would receive in an uncovered model and a portion of it we would receive in a covered model similar to what we're seeing today. And I think the use case around APOs or non-R&D directors or hijacking some of that is similar to your second question around tokenization. And maybe it's like a bit wider if you're talking about the one click kind of checkout providers, for us that's of course a addressable market or potential opportunity.
Reggie Smith: Got it. If I could sneak one more in, you mentioned consolidation toward the end of, I think, your prepared remarks and I wasn't sure if you were talking about that because you think there's some other type of consolidation like within your, the operations?
Eido Gal : As a result, we think we have the opportunity to expand our product platform and sell more services. We really have an incredibly deep integration and strong relationship with some of the best brands and names in e-commerce. They look to us and trust us to develop and sell additional services on. So that's definitely something we're thinking about how do we develop more in-house or acquire more inorganically? And as we think about the core risk market that we operate in, we definitely see ourselves as the leader, the most scaled modern player in this market with kind of a handful of smaller competitors in this world. And we believe there's going to be opportunity to consolidate that part of the market.
Reggie Smith: Perfect. Thank you, guys.
Operator: Thank you. Our next question comes from the line of Clark Wright with D.A. Davidson. Your line is now open. Clark Wright, your line is open. Please check your mute button. Our next question comes from the line of Timothy Chiodo with UBS. Your line is now open.
Timothy Chiodo: Great. Thank you. I want to talk a little bit about the recent acquisitions made by both of the card networks broadly in the fraud detection and prevention space. Could you describe would you say that Riskified is often working alongside those types of products if a merchant is buying those value-added services or maybe their merchant acquirer is deploying those value-added services from the card networks. And I guess maybe a good way to summarize it is, are you working alongside in addition to those offerings or instead of those offerings in many cases?
Eido Gal : Thanks for that question. So, speaking more broadly, the acquisitions by the card networks over the past few years have not been directly in our space. So, in that sense, it would be alongside. So, when you think about potential Visa acquisition like feature space, machine learning, risk modeling for card issuers, right, so for potential for banks. When you think about Verify or a [Indiscernible] or anything like that, data sources that would potentially be used by them. But like as a core product that an enterprise e-commerce merchant is using, none of those acquisitions have been in that space, and we do not view any of the recent acquisitions as competitive. They would either be in a different part of the payments value chain or stack, or they would be a smaller data service provider, but again, we would not view as competitive.
Timothy Chiodo: Okay, great. Thank you so much. It's really a good clarification. In terms of PSC2 in the UK and Europe more broadly. Could you just talk a little bit to the extent there are differences in terms of volumes that are more or less addressable related to Apple Pay versus PayPal? I understand there might be a difference in the UK for those two. So, my understanding is that Apple Pay automatically qualifies, meaning it's two of the three, something you are, something you have, something. And I'm unclear around PayPal in that region, and I was hoping you could talk a little bit about that in terms of what that means in terms of the addressability of those volumes?
Eido Gal : Well, I think for us, I mean, since PSC2 Europe has mostly been a non-guaranteed model where we would lean in more on either the newer products or the non-guaranteed offering because of the PSC2 impact. And I think that's how we view really the market as a whole.
Timothy Chiodo: Great. Thank you. But is there any mechanical difference though there across those two, just more from a broader industry question relative even if they are both addressable?
Eido Gal : Specifically, in the UK, I don't know if there's a difference within how the configuration of the PayPal or Apple Pay.
Timothy Chiodo: Okay. All right. Thank you for taking both of the questions. Appreciate it.
Operator: Thank you. I would now like to turn the call back over to Eido Gal, CEO, for closing remarks.
Eido Gal : All right. Thank you, everyone, for joining. We look forward to updating you on our progress this year. See you on the next call.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.